Operator: Good morning, ladies and gentlemen, and welcome to the JetBlue Airways Third Quarter 2011 Earnings Conference Call. Today's call is being recorded. We have on the call today, Dave Barger, JetBlue's Chief Executive Officer; and Mark Powers, JetBlue's Chief Financial Officer. Also on the call for Q&A is Robin Hayes, JetBlue's Chief Commercial Officer. As a reminder, this morning's call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors, and therefore, investors should not place undue reliance on these statements. For additional information concerning factors that could cause results to differ from the forward-looking statements, please refer to the company's annual and periodic reports filed with the Securities and Exchange Commission. This call also references non-GAAP results. You can find the reconciliation of those non-GAAP results in JetBlue's earnings press release on the Investor Relations section of the company's website at jetblue.com. At this time, I would like to turn the call over to Dave Barger. Please go ahead, sir.
David Barger: Thank you, Christine. Good morning, everyone, and thank you all for joining us. We're pleased to announce another profitable quarter for JetBlue. Today, we reported net income of $35 million or earnings of $0.11 per diluted share. These results include the impact of a $5 million loss associated with the prepayment of a portion of our convertible debt. Excluding this special item, JetBlue would have reported net income of $38 million for the quarter. Despite an uncertain economic environment, total revenues grew 16% year-over-year. Our strong revenue performance was offset by a 22% increase in operating expenses, driven primarily by $162 million of additional fuel expense as JetBlue's fuel price for the third quarter increased over 40% versus last year. High fuel prices continued to pressure the industry. However, we continued to focus on revenue diversification during shoulder periods and aggressive cost management, helping mitigate the impact of escalating fuel prices. We ended the quarter with roughly $1.2 billion in unrestricted cash and short-term investments, or 28% of trailing 12 months' revenue. We continue to believe a strong liquidity position is paramount in this high fuel cost and uncertain economic environment. JetBlue's crew members performed exceedingly well, despite the weather challenges associated with the seasonal thunderstorms and Hurricane Irene, whose path travelled directly through the core of our network. Flight operations were suspended in New York and Boston, resulting in approximately 1,400 flight cancellations or roughly 2/3 of our flights over 3 days. Thanks to the extensive preparation that went into this significant weather event, including moving 50 aircraft out of New York Kennedy and Boston, we were able to get the airline up and running safely and quickly with minimal impact to our customers following the storm. I'd like to take this time to thank our 13,500 crew members for their extraordinary efforts in delivering outstanding, safe and reliable service to our customers and for their hard work and dedication during a very busy summer. Our third quarter results were driven by strong revenue performance. We believe our 7.7% passenger unit revenue growth is particularly impressive, given our capacity growth of 8.3% during the same period. Capacity growth typically puts downward pressure on unit revenues. Contrary to this general rule, we increased capacity in Boston and the Caribbean while growing unit revenues. We have an average one-way fare of $155, an improvement over last year of 9%. This reflects the successful execution of our network strategy and an increasing mix of higher-yielding customers, particularly in Boston. An important objective of our strategy is to improve revenue performance during shoulder periods. We believe improving revenue performance during off-peak travel periods is essential to sustained revenue growth. As such, we're very pleased with our year-over-year increase in PRASM of 13% in September, historically an off-peak travel period for JetBlue. During the quarter, we continued to build on our success in Boston. New destinations, increased frequencies and our superior product have helped us build relevance with all of our customers, both leisure and business, as well as interline customers. We currently offer nonstop service to 42 destinations from Logan Airport, twice as many nonstop destinations as any other carrier in Boston. As we build relevance and gain feature in Boston, we are seeing nice penetration of business traffic, driving higher yields. During the quarter, year-over-year PRASM growth in many of our Boston business-oriented markets significantly outperformed the rest of the network. While we expect our growth in Boston will come at a more moderated pace next year, we still believe there are many new attractive opportunities. We also expect to benefit from the maturation of new markets, as it becomes a smaller percentage of our overall network mix. During the first quarter of 2011, roughly 30% of Boston ASMs were in markets that were open for less than 12 months, or had business schedules for less than 12 months. We expect such new markets will only be 15% of Boston's ASM mix in the first quarter of 2012. During the quarter, our Caribbean and Latin America markets also continued to produce strong results. Our visiting friends and relatives or VFR markets continue to complement our leisure-driven markets very nicely from both a seasonal and day-of-week perspective. As previously announced, we plan to begin service next month to La Romana, our fifth destination in the Dominican Republic, where we are the largest carrier in terms of capacity. In addition to adding new destinations in the Caribbean, we also continue to connect the dots between cities within our network. For example, the Department of Transportation recently granted us approval to begin daily nonstop service between Bogota, Colombia and Fort Lauderdale Hollywood, Florida, home to a very large Colombian population. We also continue to take advantage of changes in the competitive landscape to bolster our position in San Juan. To that end, we plan to expand our intra-Caribbean service from San Juan with new service to St. Maarten beginning next month and new service to St. Thomas and St. Croix beginning in December. During the quarter, we continue to expand the scope of our network through airline partnerships, as we began connecting customers with TAM. Last year, we set a goal of implementing 6 to 8 interline agreements in 2011. We remain on track to meet that target. We now have 12 airline partners and expect to add another partner by the end of the year. In 2012, we anticipate adding more airline partnerships and creating new opportunities to connect international traffic and build incremental customers on JetBlue. As our business grows in size and complexity, we understand the importance of maintaining a low-cost focus. Mark will discuss our cost performance in more detail, but I'd like to emphasize that cost control has been and continues to be a foundation of JetBlue's success. We recognize that there are things we can control and things we can't. We can't control the economy or the price of fuel, but we can control our productivity and overhead. Prudent management for our controllable cost is always front and center. A high fuel cost environment makes this further an imperative. Before closing, I'd like to say a few words about the Chief Financial Officer change we announced last week. Ed Barnes joined JetBlue in 2006 and was named CFO in 2008 during a transitional period in JetBlue's development. He played a very key role in our efforts to slow the growth and create a sustainable growth strategy that continues to benefit the company and its owners. I'd like to take this opportunity to thank Ed for his valuable contributions to JetBlue's success. In closing, I'd like to once again thank our 13,500 crew members for all their hard work during the third quarter. Despite a high fuel cost environment and challenging economic conditions, JetBlue's low cost structure, strong liquidity position and network strategy have positioned us well. We believe our unique culture and direct relationship with our crew members will provide the foundation for future success. We are committed to growing on a sustainable basis and generating positive free cash flow, while recognizing free cash flow is not a return metric. With that said, please know we are focused on improving margins and generating appropriate returns for our owners. Our long-term goal is to consistently achieve a return on invested capital that exceeds our cost of capital. While we clearly have more work to do, we believe moving to an ROIC metric is appropriate for us, and we anticipate measuring ourselves accordingly. We plan to discuss our roadmap to improving shareholder returns in more detail at our Investor Day, which is being planned for next February 15. Details will be forthcoming. And with that, I'd like to turn the call over to Mark Powers for a more detailed review of our financial results. Mark?
Mark D. Powers: Thank you, Dave. Good morning, everyone. Thank you again for joining us today. Overall, it was a very good quarter. We reported a profit of $35 million and an operating margin of 9%. We delivered these results despite higher fuel expense compared to last year of $162 million. As we'll discuss, strong revenue performance helped offset the impact rising fuel. I join Dave and the entire leadership team in thanking our crew members for your contributions to the solid financial performance and for your hard work taking care of customers, particularly during extraordinary events such as Hurricane Irene, which we estimate negatively impacted third quarter operating income by net $8 million. This includes lost revenue of approximately $18 million, offset in part by cost savings of $10 million. Our quarterly revenue showed solid improvement year-over-year. Passenger unit revenues increased compared to last year by 7.7%. Yield during this quarter was also up 7.7%. Load factor was slightly lower by 0.1 points on 8.3% more capacity. While load factor was slightly lower, we're pleased with the trade-off for higher yields. We're also pleased to see the steady demand for our product as we committed to grow capacity in Boston and the Caribbean. Monthly PRASM improved throughout the quarter. Specifically, PRASM was up in July by 5%, in August by 7% and in September by 13%. As Dave mentioned, we are especially encouraged by the strong September PRASM. Again, this reflects our success to improve shoulder period revenue performance. Evidencing this trend is a significant improvement in both yields and load factor on Boston transcon markets, including Boston-San Francisco and Boston-LA. Ancillary revenues continue to improve. Recall, ancillary revenues is measured as the combination of ancillary revenue reported in the passenger revenue and other revenue lines. During the third quarter, ancillary revenue for passenger was about $19, a year-over-year increase of 7%. This increase was driven primarily by our Even More Space product, formerly known as Even More Legroom. Even More Space is on track to generate more than $100 million in 2011 revenue. In response to the strong customer demand for this offering, we recently added up to 6 seats to the Even More Space inventory on our aircraft. On a unit basis, third quarter total revenue did not grow as quickly as passenger revenue. Due to the lingering nature of Hurricane Irene, we voluntarily waived significant change fees for our customers, resulting in lower change fee ancillary revenue. While revenue improvements helped offset rising fuel, fuel of course remains our most significant cost. This single item comprised roughly 40% of total operating expenses in the quarter. During the quarter, we paid $137 million more for fuel than we would have paid at last year's price. This is a year-over-year increase of more than 40%. We believe the best hedge against fuel prices is better fuel efficiency. Fortunately, we have one of the most fuel-efficient fleets among the most U.S. major carriers, with an average age of only 5.9 years. In addition, we continue to actively manage our hedge portfolio, essentially as insurance to help manage price volatility. For the fourth quarter of 2011, we hedged approximately 45% of our anticipated jet fuel requirements. For 2012, approximately 21%. The underlying details of these hedge positions are more specifically described in our investor update, which will be filed later today. Including the impact of hedges and fuel taxes, we are planning on a fourth quarter price per gallon of $3.23. This represents a year-over-year increase of roughly 35%. For the full year, we're planning on a price of $3.19, an increase of approximately 40%. We expect fuel expense for the year will increase by nearly $600 million compared to last year. Again, this will be indicated in the investor update filed later today. These prices are based on a forward curve as of October 21, and as always exclude transportation and interplane fees. Excluding fuel, third quarter year-over-year unit costs decreased 2.2%. This is in line with the guidance we provided last quarter. These results were better than our expectations when you consider the flight cancellations stemming from Hurricane Irene. This event reduced our planned year-over-year ASM growth by about 2 percentage points. Excluding the impact of these flight cancellations, we estimate year-over-year fuel costs would have decreased over 4%, which would have been -- which actually would have beat our guidance range. Looking at other key items on the income statement, salaries, wages and benefit unit costs decreased 4% year-over-year. This was due in part to lower profit-sharing expense year-over-year. Year-to-date, we have accrued approximately $24 million in profit sharing, which includes $8 million during the third quarter, approximately $4 million lower than last year. As average crew member seniority increases, we expect to face continued cost pressures from salaries, wages and benefits, due to wage scale escalation. Year-over-year maintenance expense for ASM increased 25%. This was primarily attributable to the gradual aging of our fleet and more aircraft coming out of warranty. We expect to face even greater cost pressure from maintenance expense next year due to escalation in our A320 contracts, higher shop visits and additional heavy maintenance work on airframes. Other operating expenses, which include the bulk of our discretionary spending, decreased 7% per ASM. This decrease demonstrates continued commitment to low-cost spending. In addition, we incurred a $6 million write-off related to LiveTV during the third quarter of last year, which of course positively impacts year-over-year comparisons. Moving below the line to other income, nonoperating expenses were roughly $9 million higher than we anticipated due to a couple of items. One, we recorded a $5 million loss related to the payment of a portion of our 6 3/4% convertible notes. Two, we had noncash fuel hedging ineffectiveness losses of approximately $3 million. And finally, we had a $1 million mark-to-market loss on certain fuel positions maturing this quarter that did not qualify for hedge accounting. Turning to the balance sheet. We ended the quarter with unrestricted cash and short-term investments of roughly $1.2 billion. Not included in this cash and/or debt balance is a new $125 million corporate purchasing line entered after the end of the quarter. This facility is with American Express and is to be used exclusively to cover our regular jet fuel purchases. During the third quarter, we made approximately $80 million in debt and capital lease payments, including the prepayment of $32 million principal amount of our 6 3/4% convertible notes puttable in 2014. Given a weighted average cost of debt of approximately 4.6%, coupled with strong liquidity, we believe retiring a portion of higher-priced debt is prudent. As noted, we recorded a $5 million loss on the prepayment of this debt, and we believe the interest saved will be accretive to earnings. We also eliminated the potential for issuance of 6.6 million shares associated with the debt prepaid, which no longer will have a dilutive effect on EPS. Fourth quarter scheduled principal payments from debt and capital leases are expected to be a very manageable $55 million. Next year, we expect debt maturities likely at a very manageable $200 million, slightly lower than 2011. Turning to the fleet. In the third quarter, we took the delivery of 2 E190s. We plan to take delivery of one E190 and one A320 in the fourth quarter. With these deliveries, we expect to end 2011 with 120 A320s and 49 E190s, for a total fleet of 169 aircraft. Looking ahead to 2012, we plan to take delivery of 4 E190s and 7 A320s. As you may have seen in the 8-K filed yesterday, in October we formalized our previously announced agreement with Airbus, elements of which include: one, the deferral of 8 positions from 2014 and 2015 to 2017; two, the conversion of 30 A320 delivery positions to A321s; and finally, an agreement to purchase 40 fuel-efficient A320neos beginning in 2018. Recall, in connection with these fleet actions, we also announced plans to reduce the future size of our E190 fleet by up to 25 aircraft. In furtherance of those plans, we have recently taken 2 actions. First, we have agreed to defer 7 E190 aircraft scheduled for delivery between 2013 and 2014 to 2018. Second, we canceled 12 E190 aircraft scheduled for delivery in 2014, 2017 and 2018. As a result of these changes, we now expect to take delivery of 2 E190s in each of 2013 and 2014. In addition to better meeting our network needs, the deferral of these 7 E190s will reduce our aircraft obligations by approximately $200 million in 2013 and 2014. This will, of course, help us continue to generate positive free cash flow in those years. Our revised delivery schedule and these transactions will be more specifically described in the investor update to be filed later today. With regard to CapEx, during the third quarter, we spent approximately $25 million in non-aircraft CapEx and roughly $105 million in aircraft CapEx. We estimate capital expenditures of about $120 million in the fourth quarter and $475 million for the full year, $365 million of which related to aircraft. With minimal debt maturities and manageable capital commitments for the rest of the year, we believe we remain on track to generate positive free cash flow and maintain strong liquidity. We expect to end the year with a cash as a percentage of trailing 12 months' revenue of at least 25%, and this excludes the benefit of the American Express facility. Turning to the revenue outlook. Despite negative economic headlines, we are not seeing evidence of a slowdown in demand. We are especially encouraged by the success of our initiatives to attract higher-yielding customers and for our performance during off-peak travel periods. Looking ahead, bookings for Thanksgiving and Christmas holidays are shaping up nicely. The word that probably best characterizes our revenue outlook is healthy. Based on the data collected thus far, we currently expect year-over-year October PRASM to be up 9% to 10%. We estimate November PRASM to increase between 7% and 9%. Because of a very compressed booking curve with a large percentage of bookings coming inside the month, we have limited visibility beyond November. As you recall, our December 2010 results were significantly impacted by the snowstorms in the Northeast. This 5-day event, during which we canceled 1,400 flights, reduced revenues by approximately $30 million. As a result, we expect favorable year-over-year comparisons in December. We expect our fourth quarter ASM growth to be up between 8% and 10%. This reflects continued expansion in Boston and in the Caribbean. In the fourth quarter, we expect our year-over-year Caribbean/Latin America capacity to be up approximately 25%. We expect year-over-year Boston capacity to be up roughly 15%. Capacity in the rest of our network will be relatively flat. Given our success in Boston and the Caribbean, we believe growth in these regions is prudent. Looking at the fourth quarter by month, we expect year-over-year capacity to be up about 7% in both October and November, and December capacity to be up about 14%. Again, please keep in mind December snowstorms impact year-over-year capacity comparisons, and approximately half of December year-over-year capacity increases can be attributed to the snowstorms. We are currently working through the details of our capacity plans for 2012. We expect the continuation of growth, driven by expansion in Boston and Caribbean, albeit at a slower rate. We're not ready to give specific guidance for the next year, but we currently expect year-over-year ASM growth to be in the mid-single digit range. As to the CASM outlook for the fourth quarter, we expect ex-fuel CASM to be between negative 1% and positive 1%. This reflects our continued focus on running an efficient operation and maintaining a low-cost culture. Our ex-fuel CASM guidance for the full year is 0% to 2%, and remains unchanged from guidance provided at the beginning of the year. While fuel prices remain volatile, we currently expect CASM to increase in the fourth quarter by 11% to 13%, and for the full year, 13% to 15%. In closing, again, overall a very good quarter for JetBlue for executing on our strategy. Financially, we're focused on sustainable growth; balance sheet strength; free cash flow generation; and of course, low costs. We recognize we have more work to do to improve our performance, but I believe we're taking the right actions to produce improved returns for our shareholders. We look forward to discussing these actions and return metrics at the February Investor Day Conference event mentioned by Dave. And with that, Dave, Robin and I are happy to take your questions.
Operator: [Operator Instructions] The first question comes from Michael Linenberg from Deutsche Bank.
Michael Linenberg - Deutsche Bank AG, Research Division: Two questions here. With regard to the AmEx $125 million for fuel, is there any collateral tied to that? Did you do a forward sale of points? Can you just -- I guess this is to Mark. Can you discuss that and give us a little bit more color on that?
Mark D. Powers: Okay, Michael. It's an unsecured facility. It was not tied to our other activities, although I must say in compliment to AmEx, our relationship is strong but it's not tied to a point sell or anything of that nature.
Michael Linenberg - Deutsche Bank AG, Research Division: Can you give us a feel for where -- what the cost is, what you're paying for that line then?
Mark D. Powers: Probably not other than to say the interest rate that we pay on draws is competitive. But relative to our average cost of secured debt and unsecured debt, it's a prudent deal.
Michael Linenberg - Deutsche Bank AG, Research Division: Can you give us a feel where your unsecured debt would be trading right now? Do you have sort of a range on that or...?
Mark D. Powers: I really don't. I would only sort of do what you would do, which would be call a background look at the CDS spreads and then calculate it from that.
Michael Linenberg - Deutsche Bank AG, Research Division: Okay. Fair enough. And then my second question, this is to Dave. Dave, you've done a lot on these interline agreements. There've been a lot of announcements. You indicated you're going to add another carrier this year and maybe some next year. Over the year though, we haven't -- there hasn't been a lot of information with respect to flows or numbers or just a feel for revenue. Can you -- I mean and I realize some of this -- there's the confidential elements of some of these agreements, but what is the pickup from some of these deals? I mean, can you give us maybe a feel for how much it adds to your load factors in Kennedy, and maybe to a lesser extent in Boston? I mean, how should we think about this and its contribution to the JetBlue network?
David Barger: Thanks for the question. I'm going to hold you in a little bit of suspense, I think, until our investor day out scheduled in February, most likely at our Long Island City facility. But that said, I think with purpose -- we wanted to really make sure that what we're doing with airline and at some of the sectors, what we're doing with limited one-way code -- and they're each a little bit different too now over Boston, of course Kennedy, don't forget Dulles and Orlando as well. And the nature of these agreements is such that -- and more planned later this year, into next year as well, is such that it also -- there's also the bookings international markets tend to take place earlier, which also takes inventory down in certain buckets. And so I think as we get into the February time frame, Robin and team, I think this is probably an item that we do want to add color on. Because at that point, we'll have -- we'll also have not just full year type of results, but the benefits of even year-over-year with some of these agreements as well. So Michael, it's one of the topics for February. We're not trying to be secretive. Yes, it is confidential in terms of specific agreements with certain airlines, but I'll close with this: our open architecture philosophy in mainly over JFK with the aligned and unaligned has been quite powerful. I mean, it really has. It's has been -- We're now selling JetBlue on 6 continents and Robin is probably not lost either with the Hahn agreement as well. The 250 customer into Hahn where we're reaching airlines throughout the world. So, Michael, Kennedy is a great gateway, and I look forward to adding more color in February.
Operator: Next question comes from Jamie Baker from JPMorgan.
Jamie N. Baker - JP Morgan Chase & Co, Research Division: David, you cited a view that a high cash balance is, I think paramount was the term that you used, in this uncertain environment. But the balance as a percentage of trailing revenue is meaningfully above the industry and it hardly seems, to me, that the industry ever is certain. Is this really the optimal level of liquidity long term, especially just given the low returns that you generate on cash?
David Barger: It's a -- I think, internally, over the years we've said that we wanted to be really north of 20% over trailing 12s, and we've been obviously lower than that in times in the past as well. And so closing the quarter at 28% -- Mark alluded to end of the year with north of 25%. We do believe that that's prudent when you consider the -- not just the economy but also on the volatility of fuel. All that said, it's -- Jamie, when I think about our ability with a strong cash balance sheet to be in a position to be active when we start to take a look at acquisitions of assets such as swaps. This is something that we really forecast was going to take place. And you bet we're going to be aggressive along those lines. So this is what cash balance sheets allow us to do, let alone provide for the unexpected. Mark, anything you want to add to that?
Mark D. Powers: Yes. Jamie, thank you for reminding me of the returns item on our cash. Thank you very much. Apart from the opportunity to rigorously participate in the purchase of assets like this swap which, as you know, doesn't happen a lot, in terms of an opportunity. Yes, I agree with you. And I -- in that respect partly is -- that was the rationale behind purchasing the debt. I'm also looking at, as we look in our delivery of an A320 in November, I'll probably buy that with cash. And we certainly have the same flexibility as we consider amongst our financing options for the 2012 aircraft. Purchasing aircraft with cash is also on the table.
Jamie N. Baker - JP Morgan Chase & Co, Research Division: Got it. And secondly, you cite about -- you talk about improving margins. The airlines that cut capacity in the third quarter only saw slight declines year-on-year on margins. You chose to grow and saw more significant margin pressure. Delta plans to cut capacity in the fourth quarter. They're guiding up on margins. Most expect the same at United. Your plan is to grow and your guidance appears to suggest lower margins year-on-year. I know you've moved orders around a bit. Thank you for going through that, but how do we really reconcile longer term the desire for higher margins with an appetite for growth? Because it isn't entirely clear you can do both.
David Barger: Jamie, it's a -- I think, again -- and it's not lost on us, but what the rest of industry is doing and our strategy -- let me take you inside Boston. Let me take you inside the Caribbean and Latin America. The fact is, is we're affecting the competitive landscape. I don't mean that in an arrogant sense. I mean, when you look at year-over-year OAL [ph] reductions in Boston, closure on a true basis, access to gates. I mean it's -- these are opportunities that don't come along that often and I think we've truly and we're -- our relevance in Boston and our growth that's taking place in Boston year-over-year, in our prepared remarks 25% in the Caribbean and Latin America in the fourth quarter and over 15% year-over-year in Boston. So let me take you down into the Caribbean and much of -- snowstorm aside, when we look at opening Liberia down in Costa Rica, as well as St. Thomas, St. Croix, La Romana, again these are opportunities -- when we start to take a look at our returns and how they're really additive to the network, this is what's fueling our growth this year. It's going to fuel our growth next year. And the rest of the network is relatively flat. It really is. And we take a hard look quarterly at if something that's not working, make a hard decision, whether it's reduction in frequency, routes or even if we had to close a station, which we're not in a position to have to do at this point in time. So we're contrarian. I know we're contrarian. Margin is very important to this company. And -- but these opportunities are truly -- I'm not going to say unprecedented, but they're big in Boston, Jamie, and they're also big down in Caribbean and Latin America.
Operator: The next question comes from Gary Chase from Barclays Capital.
Garrett L. Chase - Barclays Capital, Research Division: I wanted to see if we could maybe walk through some of the revenue dynamics. I wanted to see if -- what your view was on how much legs this concept of off-peak revenue gain has. And then maybe make it a little bit more concrete, if you could help us think about what your November forecast implies for sort of the first 2 weeks versus the back half, where we'd consider it more peaky.
David Barger: Peaky, we're going to spell check that one, Gary. But by the way, if I may just introduce Robin into call as well. There is a Investor Day as well. We're working on the forecast for snow as well, right? To make sure that doesn't happen in New York on that day. But we're also getting inside places like Boston and the growth Jamie was asking a question about and both the type of customer that we're seeing in Boston as well with those destinations. But Robin, a little bit more focus on to Gary's question on the month-to-month, if you will, revenue.
Robin Hayes: Sure. Good morning, Gary, and good morning, everyone. I think, we talked on this call before I know about the -- as we diversify the network, particularly in Boston, and target the business traveler, we are seeing better year-on-year comps in some of our off-peak months. Here, we saw a very strong one in May. We saw a strong one in September. October is a month that is sort of -- we've kind of traditionally described it as a shoulder period. If we look at November, then we continue to see a lot of strength in early November, really behaving -- we expect that to behave very much like some of the other sort of off-peak months where we have strong business loads as we get towards the end of November with the Thanksgiving holiday. We understand and I know it's something that we've seen before. Traditionally, JetBlue has always done really well in those periods. So we continue to see strong off-peak gains. And as we look forward, Dave mentioned in Boston next year, we expect more routes to be -- more of our markets to be in a mature phase. So I think we'll definitely see some significant upside there and we expect really that to offset some of the -- even if some of other airline capacity changes will be seen, even if that starts to slow down, we should see the benefit on the other side with a more mature network.
Garrett L. Chase - Barclays Capital, Research Division: So it sounds like we shouldn't expect this to end anytime soon, at least several more quarters there.
Robin Hayes: We don't give any exact guidance, obviously, past the October, November timeframe, but we think our strategy is solid and it's one we're going to continue to execute.
Garrett L. Chase - Barclays Capital, Research Division: Okay. And then just one on the cost side for Mark. I mean, what gets this turned around? I mean, there was a big step up in cost in 2010 that we always believed was surrounding the Sabre cutover. We had expected that there would be an ability to leverage some of those costs. You talked about maintenance pressures for next year. It's sounding like it's going to be another year where you've got material growth but still some unit cost pressure. Is there a way to turn this around? And what might define that?
Mark D. Powers: I would say -- again, remind everybody that but for Irene our CASM x fuel performance would have been in the 4 range -- I mean, a negative 4 range. So I think we really -- we have really moved a long way in the recent number of quarters. Not to get overly philosophical, but it's fundamentally a nickels and dimes business. There's not a magic wand I can wave and suddenly cost will evaporate. It's really hard work. It's interesting you asked the question, because we're literally in the process of going through our budgets right now. And Gary, it's a tough, slugging process, and that's the kind of process that myself and other members of the leadership team and the other leaders in the cost centers are going through and were committed to. So I don't -- I wish I could say there's -- these are the 3 things we're going to focus on that's going to make it swing big. It is a nickels and dimes type of environment. And we are intensely focused on all of them, all the costs.
Operator: The next question comes from Bill Greene from Morgan Stanley.
William J. Greene - Morgan Stanley, Research Division: Something we haven't chatted about in some time now is just LiveTV, and the reason I sort of think about it is just that it strikes me as potentially something that is not going to increase in value as Internet sort of services and Wi-Fi sort of make it on to more and more planes and people can sort of look at their own content on iPads and whatnot. So how do you think about what you want to do with that? Isn't there's some need for urgency to think about monetizing that?
David Barger: By the way, it's -- we couldn't be more excited with what happening with LiveTV today, and it's really as a result of the partnership of ViaSat and the satellite launch that took place successfully a week ago today in Kazakhstan. And so as we move into really broadband capability at altitude, different models and others, I'll tee up Robin here for comments from a commercial point of view, and Robin has a LiveTV unit reporting into him here into the airline as well. But if a -- this satellite that was built by Space Systems/Loral on behalf of ViaSat that literally is sitting on the horizon south of Tucson, Arizona at 22,500 miles. I got to tell you, we believe that this is going to change the landscape at altitude. Robin, additional color?
Robin Hayes: Thanks for the question. No, I think the connectivity space is a great opportunity for LiveTV. The partnership with ViaSat is extremely important. Obviously, we have the commitment to launch Ka-band on JetBlue next year. We have memorandum of understanding, planning to also introduce the same connectivity on the CAL [ph] fleet at United. And actually I think this creates a broader market for LiveTV rather than a narrower one. So, no, I think in terms of, is there sort of any kind of desire, any panic to have some kind of fire sale on LiveTV? No. I think the opposite is true. We're going to be considered and thoughtful and we think connectivity is a great opportunity, particularly for those airlines looking to combine an Internet and TV experience, because despite the huge progress and strides that have been made with connectivity and with the additional bandwidth and options that Ka gives us versus Ku and some of the ground-based products, you still -- in LiveTV, it's still a product that can't be streamed through those technologies, and so we think there's room for both.
William J. Greene - Morgan Stanley, Research Division: And will there be a way to monetize it to a greater extent on the plane than you currently do?
Robin Hayes: Well, I think my view is the more options that you put in front of customers, the greater the opportunity there is for -- to monetize that asset because the greater breadth of product you're providing them.
William J. Greene - Morgan Stanley, Research Division: So in other words, get it through fare or demand.
Robin Hayes: Sorry, Bill, I didn't follow -- understand the question?
William J. Greene - Morgan Stanley, Research Division: Sorry, I'm just saying that in other words, when you offer these greater level of services, you essentially find that there's either more demand or an ability to price higher.
Robin Hayes: Yes, yes, I think -- if you're talking about the sort of pricing of the connectivity then that's something we're still working through, but absolutely I think the -- what really compelled us to look at Ka and working partnership with ViaSat, is it allows the airline, as JetBlue and also United, one of our other customers, and future customers, to control the pricing in the way that they want to do, and you can vary that by sector, by customer, by bandwidth use, until we have a lot of flexibility to monetize the asset.
William J. Greene - Morgan Stanley, Research Division: Okay. And Dave, can you just give us an update on any of the efforts among employees to sort of unionize -- remind us where the pilots are on that?
David Barger: Sure. Thank you, Bill. First of all with the pilots, as I believe shareholders are aware on this call, but we had an affirmation by our pilot group for -- in support of our current model, the direct relationship with our crew members. And though I don't think you'd necessarily win these things. I think you can lose a lot, but this affirmation, I think that's so more important with our contrarian model, with our crew members. And really, on the rest of the landscape, Bill, and to others on the call, we've had ongoing pockets of discussion that take place. That's been the case over the course of several years. We don't believe that there's anything that's a crescendo on the landscape right now with any work groups, but we're absolutely aware that there are unions and third party representation efforts ongoing at our company. And we know that, that has been the case. We know it's going to be the case and that's how we're running the company on a go-forward basis. And I'll close with this though: we can't be more pleased for really the affirmation on behalf of the pilots, especially considering the change in the voting environment, with the NMB rule change earlier this year and the record 97.2% turnout.
Operator: The next question comes from Will Randow from Citi.
Will Randow - Citigroup Inc, Research Division: Mark, as you know, I've always been a fan of yours, especially when you cut the order book. But I was looking at your first half 2011 pretax profits per aircraft, counting the E190s as 2/3 of an A320, and JetBlue is only running about $150k per aircraft. That compares to another meaningful carrier at Fort Lauderdale running Airbus that was running about $1 million per aircraft. So I guess my question, is have you run incremental pretax profit as well as ROIC analysis for your increasing seating density in aircraft and taking less aircraft? And how do you think about that?
Mark D. Powers: Yes, we do. I'll share the answer with allotment on that, because it really goes, I think, to the core of our product. I mean, our product is very different from Spirit's and our customer's probably very different as well. What our customer will tolerate on is probably not to be found on the higher, denser aircraft getting in Fort Lauderdale. And so it really does go to the heart of customer expectations and our ability to maintain the present performance that you've seen.
Robin Hayes: I think, just to follow on it -- it's Robin here. As we've said before, our view is with the -- particularly with strength of Even More Space, that we actually have the configuration on our aircraft that maximizes our margin. And secondly, as we look at our sort of competitor in Spirit -- in Fort Lauderdale with Spirit, which you raised, I just like to point out that in quarter 4, their capacity is down maybe 29% in JetBlue competitive markets, which I think speaks for itself. I think with the customer is clearly choosing our brand and our product.
Will Randow - Citigroup Inc, Research Division: Okay, great. And then a question for Dave and Robin. You mentioned Boston price almost outperforming your system. Can you share your competitive capacity for Boston as well as your system for the third quarter and your expectations for the fourth quarter and just kind of talk about business mix as well?
Robin Hayes: Yes. Hold on. In terms of quarter 4, I'll give you that number. We look -- currently, the RA [ph] capacity is down about 6.2% in our Boston markets. I don't have the number for quarter 3. I don't think it would have been much different. In terms of business mix, I think again we'll probably be ready to talk about that a bit more specifically in February at the Investor Day, but we continue to see good traction, and our business mix out of Boston is significantly higher than the 15% to 20% JetBlue average.
Will Randow - Citigroup Inc, Research Division: Sorry, I just wanted to make sure I caught it. For the fourth quarter, what was your system competitive capacity?
Robin Hayes: The Boston number is 6.2% quarter 4.
Operator: The next question comes from Glenn Engel from Bank of America.
Glenn D. Engel - BofA Merrill Lynch, Research Division: Two questions. In the third quarter, weather hurt you in comparisons, and in the fourth quarter weather should help you in comparisons in that you have your nonfuel unit cost doing -- going down less in the fourth quarter than third quarter. So what's the bad guys that are causing things to get tougher in the fourth quarter?
Mark D. Powers: The fourth quarter, again, I just did want to affirm that we are not changing full year guidance. It's still 0 to 2. What happened in the fourth quarter is we anticipate that some items that were deferred from the third will be moving to the fourth quarter. Notably, some marketing and maintenance expenses were shifted to the fourth out of the third.
Glenn D. Engel - BofA Merrill Lynch, Research Division: And on the ancillary side, you mentioned you're increasing the More Space. You said it was 6. What percent of an increase is that? And should that mean I should see a proportional increase in that $100 million of benefit?
Robin Hayes: Yes, on the Airbus, we currently -- before this change, we had 6 rows, so 36 Even More Space seats. So that's going up to 42. That represents an increase of just over 15%. On the EMBRAER 190, we have 4 and we're going up to 8, so that represents a 100% increase. And just as a reminder, both of these changes are being made without any change to the overall seating configure -- density on the aircraft. We remain at 150 on the Airbus 320 and 100 on EMBRAER 190.
Glenn D. Engel - BofA Merrill Lynch, Research Division: Are there any other ancillary opportunities out there?
Robin Hayes: I think it's something we mentioned before. Next year we are still looking to increase the amount of Even More Space on the aircraft, the 190 aircraft, out of Boston. Quite often, most seats are sold out several days before departure and so business travelers flying the last minute who are looking for that product can't get it. So as we've said before, we do have a plan next year to add another 2 rows of Even More Space seats on the 190, again without removing any seats from the aircraft. And secondly, with the successful launch of our Even More Speed line at 15 of our airport -- there's more to follow -- We do have the opportunity to potentially unbundle that next year and sell that as a standalone product, and that's something we are evaluating. In addition, continue to keep very strong growth in our getaway vacations division, which we think will continue as we continue to expand the Caribbean part of the world.
Operator: Your next question comes from Dan McKenzie from Rodman & Renshaw.
Daniel McKenzie - Rodman & Renshaw, LLC, Research Division: Dave, I guess, or Robin, I'm wondering if I can give a little friendly pushback here at the New York market, and the reason why is the bulge bracket banks have all made it pretty clear that they're looking to cut back headcount 5%, maybe to 10%. Who really knows? But Delta obviously calling that out as an area of weakness on their conference call. And I think your schedules are pretty firm to the first quarter, if I understand correctly, and yet you folks, it looks like I'm seeing you grow, call it 4%, in the broader New York market. And so I'm wondering if you can provide a little perspective about given the, what Barron's would call, I guess, a neon swan. That's something that's blindingly obvious and not a black swan, a neon swan. So It looks like New York's going to be pretty tough heading to the first quarter. I wonder if you can provide a little bit more perspective about what gives you the confidence to grow 4% in this kind of a backdrop.
Robin Hayes: Sure. No, I'm always happy for a friendly and unfriendly pushback, so thanks for making it friendly, Dan. No, I mean, as we look at New York, predominantly a leisure franchise and a lot of the growth that you're seeing is in some of the markets that we're bringing on quarter 4 this year. So Dave talked about La Romana in the DR, Liberia, Costa Rica, which we're very excited about. So I think that's one point. The other thing, I'll just remind you from last year, we did have some pilot timing which we had to catch up on last year, so we did sort of take our quarter 1 schedule down a bit and so in terms of quarter 1 to quarter 1, that's slightly unusual. And our New York franchise is not very dependent on the financial services sector and the banks, although we do have a lot of bankers fly us and we're always happy to see them.
Daniel McKenzie - Rodman & Renshaw, LLC, Research Division: Understood, okay. I appreciate that. And then, I guess, for my follow-up question here, I'm wondering do we have any labor costs increases that we should be thinking about? I guess since the pilots decided not to unionize, was there any kind of exchange in terms of compensation that we should be thinking about heading into the first quarter or into next year?
Mark D. Powers: None whatsoever.
Operator: Your next question comes from Duane Pfennigwerth from Evercore Partners.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: So the near-term competing capacity trends look favorable, but I'm just wondering longer term if you have any thoughts on Delta slot swap with US Air (sic) [US Airways]. On the surface, it would appear to be bringing more capacity -- domestic capacity to New York, but wondering how you're viewing that.
Robin Hayes: No, we are actually viewing the slot swap as very positive. I think as Dave said earlier, we intend to be active bidders on both the LaGuardia and the BCA slots. I think both of those airports are -- airports and markets are important to us. And I think our franchise at JFK is very specific, very defensible, and we don't really expect any change to the group if that slot swap would occur.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Anything operationally at JFK? Any implications there?
Robin Hayes: No, we don't believe so.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Okay. And then with respect to your ex-fuel cost growth next year, I mean, if you look back at this year it was really 2 halves. You had up substantially in the first half and then we'd been flat to down here in the second half. So as we think about next year, which half is it going to look most like? And any line items that you can talk about either favorably or unfavorably into 2012?
Mark D. Powers: We haven't obviously given guidance yet, and so it's hard to provide accurate expectations. I can tell you just as proof of the matter, where I'm spending a lot my focus is of course on maintenance costs and wages and fuel which, of course, again is sort of almost a day-to-day thing by virtue of the changing volatility in fuel curves. But then I can only repeat what I've said, which is that the entire team is really focused on everything right now and we look forward to -- at the Investors Day giving you a little bit more color on that whole outlook.
Operator: Your next question comes from Hunter Keay from Wolfe Trahan.
Hunter K. Keay - Wolfe Trahan & Co.: Robin, can you talk to me for a little bit about how Virgin America has been behaving as a competitor. I mean, based on some DOT filings, they've got an extremely light cash position and I'm just wondering if you're seeing them price maybe what you would define as a rationally -- irrationally, I should say, maybe in the pursuit of cash, something like that. Have you noticed any kind of changes in their behavior from a competitor perspective recently?
Robin Hayes: No. To be honest, we don't spend too much time looking at Virgin America, but I mean, from what I sort of recall in terms of looking at the summer, pretty rational pricing on the transcon by all their lines, and nothing into the fall I would sort of see that suggests that anyone is trying to behave irrationally or doing the pricing down.
Hunter K. Keay - Wolfe Trahan & Co.: Okay. And, Mark, just quickly on hedging, I don't know if you've noticed this but I'm sure you did, Southwest pared back a significant portion of their hedge book and they're only about 15% hedged if WTI is less than 100 bucks a barrel in the first half of '12. And they've got the balance sheet to take that kind of risk and I think it's admirable actually and I wish the entire airline industry would kind of stop hedging, which would make fuel become much more of a pass-through. You've got a lot of cash. You've got a good balance sheet. Your hedging strategy has become increasingly complex and that was -- with maybe Ed's departure, does this maybe open up a window to kind of readdress to a certain extent how you're hedging and maybe consider not hedging at all?
Mark D. Powers: We actually evaluate the hedge policy literally on a quarterly basis with the leadership team and in fact, other advisors that we've retained on that. So it's always -- we're always questioning ourselves, asking that question, what are we missing here? So it's an appropriate question. I don't think it -- I don't expect right now that there will be any significant changes to the approach that we've taken. And you'll see in today's investor update there is a broad variety of the products that we do use literally based upon the term that we're trying to insure. I continue to believe that some protection against the volatilities of this marketplace are appropriate. I will also note that since 2002, while I don't look at hedging as a device to speculate fuel prices, but rather to insure our volatility risk, we have been in the money buy about $43.4 million. So overall, the program since '02 has not lost us any money at all.
Operator: Your next question comes from Jim Higgins from Ticonderoga Securities.
James M. Higgins - Ticonderoga Securities LLC, Research Division: Just one quick question on commentary on December revenue. I know overall revenue was hit pretty hard by the winter storms last year. What did it do to PRASM? Is the PRASM comparison made more or less difficult by those storms?
Robin Hayes: We expect the PRASM comparison to be better. Obviously, we're not guiding specifically to what that is.
Operator: The next question comes from Kevin Crissey from UBS.
Kevin Crissey - UBS Investment Bank, Research Division: Yes. Can you talk about and maybe you have and I've missed it, the Sabre revenue trends?
Robin Hayes: Yes, sure, it's Robin. Yes, I mean we continue to see a lot of positive developments with the Sabre platform. We continue to turn on new functionality as time goes by. Something we talked about before, one of the biggest benefits in addition to some of the improved inventory and pricing capabilities that it gives us, we've seen considerable shift into the corporate travel agencies space, particularly in Boston, which I think has really helped fuel our remarkable PRASM growth there on top of large increases in capacity. On the downside, it's also increased the potential business that we are getting through online travel agents. We've talked about that before. It's one of our strategic challenges, but we continue to make good progress sort of driving that revenue down as a percentage, and it remains one of our priorities to continue to reduce the amount of business that we are getting through the online travel agency partners.
Operator: Your next question comes from Helane Becker from Dahlman Rose.
Helane Becker - Dahlman Rose & Company, LLC, Research Division: It's just 2 easy ones. One is, with the increase in the Caribbean capacity, do you have to wind up hedging more in the summer months to account for potential hurricanes?
Mark D. Powers: That's a great question, Helane. It's good to hear your voice. I think the answer is it doesn't necessarily impact the volume of hedging that we do. I will also say that, and I think we'll probably describe this a little bit further at the Investor Day, but there are some other types of things I do to hedge hurricane risk, including actually our prepurchasing physical and storing and that sort of thing which at least over the past 2 to 3 years has been very, very successful. Again, it's a way to ensure that we -- we're not only insuring against volatility but also assuring ourselves of supplies. So there's some other non-hedge things that we do to address hurricane risk seasonally.
Helane Becker - Dahlman Rose & Company, LLC, Research Division: Great. And then my other questions is completely off topic, which has to do with Lufthansa's investment in the company. They mentioned at their recent investor day that they were looking at diversifying away from that investment and I was just kind of wondering, Dave, do you have the right of first refusal to buy back that stock? Or would -- have they talked to you about that at all? Or can you just talk about that Lufthansa arrangement?
David Barger: Helane, I'm aware of the commentary that took place and all that said, not aware of anything -- any dialogue specific with us because it hasn't taken place. So it's really all I can offer you at this point in time. It's a -- we've been very appreciative of the Lufthansa investment, the board, as well as guidance at a global level. I mean, it's such a great company. So that's where it currently stands.
Helane Becker - Dahlman Rose & Company, LLC, Research Division: Okay. Can you say if you have right of first refusal to buy back the investment?
David Barger: Helane, we'd have to -- I'd have to check that. I believe that's the case, but we'd have to affirm it and we can do so after the call.
Operator: Your next question comes from Bob McAdoo from Avondale Partners.
Bob McAdoo - Avondale Partners, LLC, Research Division: Just a quick one. I noticed that your aircraft rent is down going from second quarter to third quarter by a little more than 10%. Could you tell us what drove that?
Mark D. Powers: Actually, off the top of my head I don't know why, but I can get back to you on that.
David Barger: But we'll follow up, Bob, thanks.
Operator: Today's final question comes from Justine Fisher from Goldman Sachs.
Joshua Pinkerton - Goldman Sachs Group Inc., Research Division: It's actually Josh with a quick question. Looking at your fuel guidance for 4Q, I'm wondering if you could give us a little more detail on how the hedges are affecting that versus just the baseline forward curve. It does look like your price is a little bit higher than some of your competitors and wondering if you could give us some more detail on that?
Mark D. Powers: Yes, actually let me sort of run the derivative aspect of that question. A couple of things are driving, if you will, our per-gallon price relative to other airlines. Number one is that we happen to be sited in some pretty high fuel cost areas, notably Boston, JFK and the Caribbean. And when I do a spot check from time to time of the average per-gallon price in the Caribbean against the average price that I pay domestically, I almost see a 40% to 45% increase in the Caribbean and 25% of your ASMs are there you can't take or tank your fuel into the Caribbean because of the distances involved. And it's just one of the costs of having a nice franchise in the Caribbean. And then, of course, I no longer enjoy the great fuel cost I used to enjoy many, many years ago when I lived in Houston. So Boston and JFK are high-fuel cost areas as well. So that's driving a lot of the difference.
Joshua Pinkerton - Goldman Sachs Group Inc., Research Division: That's very helpful. And then just the last one is on your maintenance expense guidance. You're talking about how you continue to expect that to be up next year because of some of the older aircraft and you said -- were you expecting to just be up or up more than the 25% it was up this quarter? And where do you expect that to kind of finally level out as the fleet ages?
Mark D. Powers: I expect it to be up. I don't know if it's going to be in that kind of range. As I said, we're literally in the process right now of, at a fairly granular level, looking at how many shop visits we expect and airframe overall visits we expect next year, which of course on a fleet of only 169 will have a big impact on total maintenance cost.
Operator: This concludes our session with investors and analysts. With that, I will turn the call over to Dave Barger for closing remarks.
David Barger: Thanks, Christine, and on behalf of Mark and Robin, thank you for joining us for the third quarter earnings call today. We look forward to talking with you in another 3 months. And also to our crew members, thank you for a very solid quarter in the third quarter and your support ongoing as we close 2011. Thanks so much, Christine. Everybody, have a good day.
Operator: Thank you for participating in the JetBlue Airways Third Quarter 2011 Earnings Conference Call. This concludes the conference for today. You may all disconnect at this time.